Operator: Good morning. Welcome to PowerFleet's Fourth Quarter and Full-Year 2023 Conference Call. Joining us for today's presentation are the company's CEO, Steve Towe, and CFO, David Wilson. Following their remarks, we will open up the call to questions. Before we begin the call, I would like to provide PowerFleet's safe harbor statement, which includes cautions regarding forward-looking statements made during this call. During the call, there will be forward-looking statements made regarding future events, including PowerFleet's future financial performance. All statements other than present and historical facts, which include any statements regarding the company's plans for future operations, anticipated future financial position, anticipated results of operation, business strategy, competitive position, company's expectations regarding opportunities for growth, demand for the company's product offering and other industry trends, are considered forward-looking statements. Such statements include, but are not limited to, the company's financial expectations for 2024 and beyond. All such forward-looking statements imply the presence of risks, uncertainties, and contingencies, many of which are beyond the company's control. The company’s actual results, performance, or achievements may differ materially from those projected or assumed in any forward-looking statement. Factors that could cause actual results to differ materially could include, amongst others, SEC filings, overall economic and business conditions, demand for the company's products and services, competitive factors, emergence of new technologies, and the company's cash position. The company does not intend to undertake any duty to update any forward-looking statements to reflect future events or circumstances. Finally, I would like to remind everyone that this call will be made available for replay in the Investor Relations section of the company's website at www.PowerFleet.com. Now, I would like to turn the call over to PowerFleet's CEO, Mr. Steve Towe. Sir, please proceed.
Steve Towe: Good morning, everyone, and thank you for joining the call. Today, we'll provide you with a business update that focuses on a review of the key milestones that marked 2023 as a year of stellar transformation for the business, an overview of our strong financial performance in the final quarter and second half of 2023, highlighting increased financial strength and growth trajectory, and demonstrating highly effective results from the strategic operating plan for the year, and a deep dive into the progress and momentum we're making in bringing together the PowerFleet MiX businesses, highlighting the value the combination brings to our shareholders. In 2023, we embarked upon a bold and aggressive transformation plan, designed to inherently change and accelerate the company's ability to elevate itself to a market leadership position at the very top table of the industry it serves. This plan required us to reshape the revenue profile of the business, fix balance sheet issues that were a major overhang on the company, accelerate a technology pivot to AI and data science-led solutions, create scale to truly give the company the ability to compete with the global leaders in the industry, reignite EBITDA expansion and positive cash flow generation, and drive a unique product and platform strategy to bring differentiated value propositions to the industry. The outcomes achieved in the last six months in particular, notably fact-checked by our strong Q4 performance, categorically underlying true world-class execution the team has delivered, with the undeniable achievement of the major business objectives we have communicated to our shareholders over the last 12 to 18-month period. Starting with revenue where we embarked on a brave transformation early in the year based on improving the quality of our revenue streams, a strategy typically seen in the private equity space, but in our case, executed in the full view of the public markets. We are grateful to our shareholders for the trust shown in the leadership team's capabilities to execute this bold plan. This pivot included making tough decisions to exit poor quality revenue segments, unprofitable contracts, low performing territories, and non-strategic lines of business. This deliberate pruning of approximately $8 million of annual revenue concentrated in hardware sales, has not only simplified our operations, but also redirected resources towards more SaaS-based revenue and business profitability. As we predicted publicly, we reached a fast inflection point and a return to top-line growth in mid-2023, with second half performance painting a clear picture of success where total revenue increase by 6% compared to half one, and gross profit followed suit with a 6% improvement. Top-line success is built on our SaaS Unity platform strategy, as evidenced by Q4 ‘23’s high-quality SaaS revenue growing by 16% year-over-year on a constant currency basis. The total revenue performance in Q4 was our best performance in six quarters, growing 9% on a constant currency basis year-over-year, and was particularly pleasing as we absorbed the predicted $2 million revenue shortfall in the quarter to our Israeli business due to the current macroeconomic issues for the territory. The reshaping of top-line performance in the full year to focus on high quality SaaS revenue, resulted in a 14% increase in service revenue year-over-year on a constant currency basis, and a $3 million improvement in annual gross profit from a lower total revenue base. Notably, North America, the leader in adoption of our Unity data ecosystem solution, delivered an excellent performance, with annual growth of 16%. Adjusted EBITDA in the second half of 2023 saw a terrific 141% increase, a gain of $2.9 million versus the first half. It's important to highlight that this EBITDA expansion was achieved despite a full period of Movingdots’ operating expenses, macroeconomic challenges in Israel, and a $1 million one-off charge for inventory-related items in the fourth quarter of 2023. The 48% sequential adjusted EBITDA increase from Q3 to Q4 2023, and 110% year-over-year increase in Q4, is a satisfying reflection on the output of the aggressive transformation efforts we've completed throughout the year.  Moving on to technology in 2023, we successfully tackled the dual challenge of aggressively ramping up investment in our next-generation Unity platform within the challenging landscape of managing near-term liquidity needs and addressing the financial overhang of the Abry preferred notes. The challenge was successfully addressed in very short order with the close of our rapid and strategic acquisition of Movingdots at the end of March. As a reminder, this deal secured a cohesive and high-performing team of over 30 engineers and data scientists with deep domain knowledge, cutting-edge IP in the automotive and safety insurance space, along with robust ESG reporting capabilities to enrich Unity, and was the source of an $8 million influx of liquidity versus a drain on cash. A key commitment we made to our shareholders at the close of the Movingdots acquisition was to ensure it became EBITDA-neutral within two quarters of close. As David will share, we clearly met this commitment, posting a flat year-on-year spend in adjusted OpEx in Q4 2023, which included $1.3 million of absorbed Movingdots spend. Our greatest accomplishment in 2023 is unquestionably the successful signing of our business combination with MiX Telematics. This milestone not only empowers us to fully realize our vision and strategy, but also significantly transforms our balance sheet, including clearing the Abry preferred instrument from our capital structure. The combined value-creation opportunity this presents makes us incredibly excited about the future of our business. The MiX deal is also a game-changer in terms of scale, with 12 months training revenue increasing from $134 million to over $280 million, combined EBITDA increasing from $7 million to $40 million. The combination also provides a clear pathway to realize more than $25 million in cost synergies within two years of close. With resounding shareholder approval for the transaction secured for both PowerFleet and MiX, our integration teams, led by Chief Corporate Development officer, Melissa Ingram, will now begin to move from the planning phase to active execution. In deploying a trident tested business integration methodology with a track record for delivering tangible results, the program aims to expedite the integration phase, enabling us to swiftly shift our attention to towards driving increased shareholder value and enhancing our customers’ experience, underpinned by a highly robust EBITDA expansion program. With 100-day plans in place and the non-negotiable deliverables defined, our teams are ready to embark on implementing key elements of the integration plan. The entire organization is firmly behind this effort, and we can already feel the collective strength of the combined team driving our integration success. We are committed to swiftly and effectively putting the integration stage behind us, emerging as a unified, stronger, and more effective company. Before I dive deeper into our future business opportunities and outlook, I'll turn the call over to David to walk you through our numbers in more detail. David?
David Wilson: Thanks Steve, and good morning, everyone. We are delighted that our progress in transforming the makeup of our revenue base with growth in our differentiated sticky recurring service revenue, putting through product sales where we have increased levels of pricing power. As Steve noted, we have actively shared approximately $2 million in quarterly revenue from the first quarter of 2023, and it is great to see that market success from our next-generation offerings now outpacing these surgical cuts, with fourth quarter revenue of $34.5 million, up 4.2% on an absolute basis, and 9% on a constant currency basis versus the prior year period. As noted earlier, service revenue was the driver here, up 8.2% on an absolute basis and 16% on a constant currency basis.  While our gross profit margin for the quarter reached 50%, reflecting a modest improvement of one percentage points over the prior year, these figures only partially reflect the underlying progress we've achieved in expanding margins. It's important to note that within the quarter, we absorbed $1.1 million in non-recurring inventory adjustments. Without these one-time costs, our gross margin would've been 53% or four percentage points higher than the prior year. Improved margins were driven by the continued evolution of revenue, with high-margin service revenue now comprising 63% of total revenue, up from 60% in the prior year, and absolute service margins expanding to a historic high of 67% versus 64% in the prior year period. Product margins were 22% on an absolute basis, and 30% when adjusted for non-recurring inventory charges, up from 27% in the prior year period. Now, onto OpEx, which was $21.3 million on an absolute basis and $17.6 million after adjusting for $3.7 million in transaction expenses, and in line with the $17.6 million incurred in the prior year. Flat year-over-year OpEx provides a compelling proof point of meeting our commitment that Movingdots would be EBITDA-neutral within two quarters of closing the transaction, with cut-to-cover activities absorbing $1.3 million of OpEx incurred by Movingdots in the quarter.  Moving on to adjusted EBITDA, which more than doubled from $1.4 million to $2.9 million, with a $1 million increase at the gross margin level, a lower cash op spend year-over-year key drivers. Net loss attributed to common stockholders totaled $4.6 million or $0.13 per basic and diluted share, inclusive of additional $1.5 million gain on bargain purchase arising from the Movingdots transaction. Adjusting for transaction costs and the gain on bargain purchase, net loss attributed to stockholders was $2.4 million or $0.07 per basic and diluted share. Closing with cash, we reacted the quarter with cash of $19.3 million on the back of strong generation, with cash from operations totaling $4.5 million in the quarter, inclusive of $1.2 million in cash-settled transaction costs.  I'll now provide an update on closing the MiX transaction, with a focus on funding and the underlying capital structure. We have finalized $100 million credit agreement with Rand Merchant Bank in South Africa, and renewing a $50 million credit agreement with Bank Hapoalim in Israel. in terms of timing, and as a condition for the merger to be declared effective in South Africa on April 2nd, we will draw down $85 million of debt from RMB on March 13th in order to demonstrate we have unfettered access to the necessary capital to pay down the $90 million owed to Abry at close. We also plan to draw down the full $30 million of term loan from Hapoalim and pay down $23 million of existing Hapoalim debt on March 18th. In terms of the makeup and the cost of debt, $30 million in term loans from Hapoalim will be denominated in new Israeli shekel, providing a natural hedge for USD-denominated investors for cash flows generated in Israel. $90 million will be denominated in USD, which differs from our earlier intention to have $50 million denominated in ZAR. While we were ultimately enabled to obtain exchange-controlled relief in South Africa to borrow in ZAR and remit to PowerFleet Inc. In USD, we are exploring entering into an FX swap to essentially obtain the same hedging benefit for USD-denominated investors by alternate means. The blended annual cost of debt is expected to be $11 million, an effective cash coupon of 8.8%, with interest rate fixed on $85 million of USD-denominated debt. While this cash coupon is approximately 1.7 percentage points lower than the effective rate included in the January 2024 S4 filing, we expect this saving to be effectively consumed by the contemplated FX swap.  Total and net debt at close is forecast to be $125 million and approximately $110 million, respectively. Total liquidity at close is forecast to be approximately $40 million, inclusive of $25 million in undrawn revolver capacity. In terms of the underlying business, it is performing in line with the numbers shared at our November Investor Day, with expected trailing 12 months revenue and EBITDA of the combined business at close to be approximately $285 million, north of $40 million, respectively. Some additional context here. When overriding focus in the first quarter has been on aligning both organizations so we have a running start on aggressively realizing revenue and cost end user close. While this is undoubtedly the right call from a shareholder value-creation standpoint, it necessarily requires taking some focus away from maximizing top-line performance in the first couple of quarters, as well as investing back into OpEx to ensure we have the right team and skillset in place to meet and beat our prior guidance on the timing of synergies. Building on this, in order to provide investors with a comprehensive understanding of our joint operations, our first quarter 2024 earnings call and release will concentrate on the financial outcomes of the merged entity rather than just standalone figures for legacy PowerFleet, which will appear in the 10-Q filing. A final note in the first quarter of 2024. Israel continues to be impacted by the challenging macroeconomic backdrop, which is more pronounced in the first quarter, which has historically been the strongest quarter for new business car sales and associated revenue. That concludes my remarks, Steve.
Steve Towe: Thanks, David. 2023 has been a landmark year for the company, wholeheartedly meeting the objectives I pledge to achieve to the board and our shareholders within the first two years as my tenure CEO. I'm profoundly proud of the substantial progress we've achieved across vital areas on our operating vectors of the business, all completed during aggressive and extensive M&A activity and execution. The transformation of our business from where it stood just a year ago is remarkable. We created an exciting foundation in 2023 that is poised to generate substantial value and rewards for our stockholders starting in 2024 and beyond. The signal from the market and our customers is crystal clear that our Unity platform effectively addresses acute pain points and needs across a broad swathe of the mobile asset market, highlighted by our improved revenue performance from our North America market, which has been the number one priority for the go-to-market activities of Unity. The acquisition of Movingdots in Q1 and the pending completion of the game changing MiX transaction, massively expand our capacity to accelerate the further development and hardening of this comprehensive SaaS software platform and data ecosystem. The Unity play is not only increasing our share of wallet with current customers, but also attracting new top tier enterprise accounts, which is highly encouraging. Unity will evolve over time into a platform and ecosystem that extends well beyond telematics. In the immediate term, we are scaling up our device-agnostic data ingestion and processing and leveraging AI to empower customers to flexibly consume insights, be it via our own advanced applications or through integrations with other third-party business operating systems they utilize. The need for these capabilities is opening substantial market opportunities by positioning Unity as a central hub for a broad range of IoT applications and an all-encompassing data highway for our customers enterprise. Feedback on our one-stop shop strategy for providing rich data solutions that cover operations in both the warehouse and over the road is very positive, as larger enterprises look for true mission-critical partners who can help drive their digital transformation and business improvement. In addition to accelerating our technology and go-to market build, we have achieved in a single step the necessary scale and punching power to give us a much stronger ability to execute our long-term vision and strategy for the company. The deal more than doubles the size and the scale of our operations, increasing trailing 12 months revenue to north of $280 million, and EBITDA to over $40 million, with active subscribers going from 700,000 to 1.8 million, resulting in an exceptional medium term cross-sell and upsell opportunity. Early dialogue with customers focused on the broader value proposition the combination presents, has been extremely encouraging, and provides us with strong confidence that we will accelerate the growth trajectory of the company in the medium term. As the deal is set to conclude at the start of April, we will spotlight key indicators in our future earnings calls to demonstrate the trajectory towards significantly enhancing EBITDA and propelling revenue growth. In the forthcoming update, we will focus on the cumulative annual run rate cost synergies achieved by the end of each quarter, advancements in transitioning MiX'S customer base to the Unity platform, specific instances of how we are expanding our share of wallet with existing customers through cross-selling the comprehensive product lineup resulting from the combination, and also progress in utilizing MiX's extensive global network of 130 resellers to broaden the sales reach of our in-warehouse solutions and advanced safety solutions.  To conclude, we have a team that has undoubtedly proven that it is highly effective at executing brave and highly complex business improvement at pace, and one which will now be bolstered even further by the addition of the talented individuals joining us through the MiX transaction. We have the clarity of vision and mission for the combined team, a disruptive and compelling data-led software strategy, and much improved global market opportunity to build a business centered on highly differentiated, sticky, recurring SaaS revenue that gives us the ability to expect to meet and then beat Rule of 40 performance two years into the closing of the transaction. As we begin to put a sharp focus on executing the next phase of our strategic plan to the highest level in the next two-year period, we anticipate rewarding our shareholders over time through a significant rerate in our trading value from today's pro forma valuation of approximately 1.5x revenue towards the 5x to 8x revenue valuation more typically enjoyed by a Rule of 40 public class company. The commencement of the new combined business is set to formally go live on April 2nd. We naturally need some time to fully take control and fly the plane for ourselves in the coming months, with the mission to successfully land the combined organization with a highly effective operating rhythm within six months. It is crystal clear we now have all the ingredients we need to drive a very compelling value proposition for the near and long-term for our shareholders, our customers, and our colleagues.  I'll now turn it back over to the operator for Q&A. operator?
Operator: [Operator Instructions] Your first question for today is from Scott Searle with ROTH MKM.
Scott Searle: Hey, good morning. Thanks for taking the questions. Nice job on the fourth quarter. It's nice to see the continued integration efforts seem to be tracking and everything as we go to, I guess, an April 2nd launch. Maybe for starters, Dave, wanted to get a little bit of color in terms of what you're seeing sequentially into the March quarter. It sounds like Israel continues to be some headwinds, but just kind of directionally how you're thinking about things. And then from a broader picture, Steve, what are you seeing in terms of the total contract value, the opportunity pipeline, kind of ARR growth? What should we be thinking about going forward over the next couple of quarters here, and how are sales cycles looking? It sounds like things are filling up in the industry, broadly speaking looks to be very healthy right now, but how are you seeing that reflect itself in the current pipeline?
David Wilson: Great. Thanks, Scott. I'm happy to start in terms of just some insight in terms of Q1. Clearly, there's a huge opportunity set that we have. We're focused in terms of making sure we're building up a great head of steam in the first half of calendar year next year. A lot of our energy's really going in just to make sure things click into place, so we have a running start for April. So, I would definitely view Q1 as a bit of a stub period in terms of where we're focused. There were also some benefits in the fourth quarter in terms of just lower expenses as we reacted to the events in Israel. So, we're very much focused in terms of making sure we're in control there. So, there will be some sort of reinvestment back into the business from an OpEx standpoint, some of it just things that we just delayed doing. Others, there were certain savings in terms of people being called, for example, to the front line. So, there were certain costs in Israel that we avoided and that certainly contributed to a pretty healthy EBITDA in the fourth quarter. But again, the goal is to really sort of get things in place in Q1. Obviously, we're focused on managing multiple things, including financial performance, but the overriding focus is really on getting off the running start from April.
Steve Towe: Yes, and to answer your questions, Scott, about pipeline and market, so both the quantity and quality of pipeline is increasing. I think if you look at the trajectory where we took out the product revenue and pivoted very quickly back to growth with much-improved output in recurring SaaS revenue, then that's a testament to the quality of the pipeline that's coming through. And also, as well, the improved gross margins in terms of better deal discipline and just overall higher quality deals that we are working through. So, that trajectory will continue. Obviously, on top of that, now we are starting to have very early conversations with MiX clients and PowerFleet clients about the combined portfolio, which is opening further doors. So, in general terms, I think the market is strong. I think we have an ability to take advantage of that one-stop shop capability I discussed earlier in terms of in-warehouse and over the road. And I think underpinning that, the kind of Unity strategy where we're able to take multiple data sources and provide holistic inputs and outputs for customers is only driving that further attractive pipeline for us in the future. What we have to do is invest as much as we can to develop sales and marketing, which is a part our key strategies to unlock the ability to put more investment and more feet on the street. But the vectors are good and we feel really positive about the future trajectory of the company. What we have stated in terms of revenue growth, short and medium-term, the first couple of quarters is very much around the synergy unlock on the cost side, integrating the business and giving us that oxygen into the P&L. And then as we start to kind of come through that, we get into the operating rhythm, then we'll see the revenue growth tick up over time.
Scott Searle: Good. Very helpful. And two questions if I could to follow up and I'll get back in the queue, but Steve, David, is there any change in terms of how you're thinking about the long-term targets at this point in time? I know it's not that far beyond the November Analyst Day, but you guys are hitting the ground with the running start here as we get close to, I guess, the launch in early April. Is there any change of thought on that front? And then Steve, just to follow up on the Unity platform, I just wanted to get my hands around a little bit the integration timelines of when you can really start getting out there and hitting the installed MiX customer base, and you also referenced more IoT applications being incorporated into the Unity platform. I'm wondering if you could expand a little bit on that. Thanks.
Steve Towe: So, in terms of your first question, I think we remain confident, and we've had another two or three months to get under the skin of the combined business. We feel confident in the numbers and projections we put forward at Investor Day. We don't see any change to that. Obviously, when we fly the plane for ourselves, then we’ll fully see the landscape that's in front of us. But overall, the indications remain strong, and we think we put together a credible plan and overview for our shareholders of the journey that we're going to go on. In terms of MiX customers being able to enjoy Unity, within three to six months maximum, the customers will have the ability to utilize the Unity services. We are obviously working hard as well to ensure that hardware and devices are already installed, can communicate bidirectionally. So, we can also from a PowerFleet perspective, utilize the MiX capabilities that don't exist, which we are obviously building into the overall Unity proposition. Then in terms of kind of broader IoT, we're looking at all asset types. So, that can be temperature and humidity. It can be things from, as we've talked about previously, defibrillator solutions and just different monitoring systems that exist, in order to provide a customer with a holistic view of data that is relevant to their organization. So, we'll expand those as we go. We have our core offerings right now, but I think what we are seeing is customers saying to us, look, can you take data from this type of asset, from this type of sensor, and can you make sense of it for us, and that's all part of the strategy that we are undertaking. 
David Wilson: Scott, just a, a quick add, sorry, on the Analyst Day numbers, just to confirm, I know we said it on the day, you need to think about those numbers as being the first four quarters after close. So, it is not a calendar year projection. It's really for the 12 months after close. So, those numbers should be thought of in terms of the year ending March 31, not December 31.
Scott Searle: Great. Thanks so much. Great job on the quarter and looking forward to the combined entity.
Operator: Your next question is from Mike Walkley with Canaccord Genuity.
Mike Walkley: Great. Thanks for taking my question and congratulations on all you achieved in 2023. I guess first question just for David, on the gross margin and services, quite strong this quarter. Is this a good way to think about where it should go going forward, or is there a mix shift in the quarter? And then also on hardware, should be expected to sustain around that 30% level given the new mix of hardware?
David Wilson: Yes, so you're right. Obviously, services gross margin was strong at 67%. It was unusually low in Q3. It ran about 60% and normalized it was sort of closer to 64%. So, what I think is most important is that we are seeing gross margins at service level expand over time. But just a comment on the Q4 performance. As I mentioned earlier in the earlier questions, there was a benefit in Israel in terms of being able to pull costs out. There were fewer shifts, for example, working at a call center level. So, there's probably sort of over a percentage point of benefit there. So, I would say on a go forward basis, 65% is probably the right way to think about it from a services standpoint, again, with headroom to expand over time. And then in terms of your question on hardware margins, yes, 30% is a good sort of baseline to look at. The thought and the goal is to expand that over time, but as of now, I think 30% is the right sort of base to build from.
Mike Walkley: Great. Thanks. And just with the $8 million in annual revenue pulled out, perhaps should we think about, just in terms of comparables, when you're lapping that, is it setting up for easier growth trends on the standalone PowerFleet business as the year plays out? Or was it mostly pulled out at the beginning of the year, end of 2022?
David Wilson: Yes, so basically the lapping becomes easier from Q1 2024 onwards. It was really initiatives that took hold and impacted the P&L from Q1 2023 onwards.
Mike Walkley: Great. Thanks. And just last question for me before I pass it on. Excited about the combined entities and those targets, but as you look at your standalone PowerFleet business and how much the margins have expanded, what do you think this business’s standalone area could reach in terms of adjusted EBITDA margins as the trends play out over the course of the year?
David Wilson: Yes. So, in terms of the standalone business, the expectation has always been on a standalone basis we can be a Rule of 40 company. Again, that would be EBITDA margins in the sort of the 30% range over time. There's a lot of efficiencies we think we can continue to drive from an OpEx standpoint. And to the earlier comments, we do see gross margins expanding over time. Two key drivers there. Firstly, from a services standpoint, the scale benefits as that grows. And also from a revenue MiX standpoint, the expectation is that services as a percentage of revenue will continue to grow as it has been growing. So, that's always been the expectation on a standalone basis. The joy of the MiX transaction is we get there a lot more quickly, and also we have certain elements of the P&L totally within our control, and obviously the cost base being the key one and the expectations, there's efficiencies we can harvest there.
Steve Towe: And I think, Mike, just to add, so obviously, we've managed to make a huge technological transformation within the envelope that we had in terms of balance sheet and the restrictions. But what we committed to was getting through that, getting those investments in place, but ripping out a bunch of costs and improving margins to move PowerFleet standalone to a path of profitability. And I think we can now - we can all see those numbers start to flow and that will continue to grow as we go.
Mike Walkley: Great. No, that's very helpful. I guess one last question, then I'll pass it on. Just in terms of the deal closing, you have the debt in place. You have shareholder approval. Is there any other milestones that need to happen between now and then, or you think it's just smooth sailing from here until the - to the closing date?
Steve Towe: So, I mean, all conditions have been met in terms of all the regulatory approvals required. Obviously, the funding is fully in place and the shareholder vote was resounding. So, now it's just a matter of time, and that is just time that has to pass under legislative terms out of South Africa. So, we at this point are highly confident that that April 2 date will be the launch for the new combined company.
Mike Walkley: Great. Thank you very much.
Operator: Your next question for today is from Jaeson Schmidt with Lake Street.
Jaeson Schmidt: Hey guys, thanks for taking my questions. I know you called out Israel, but just curious from a geographical perspective if there are any other areas that jump out, either positive or negative.
Steve Towe: I think if you look at the positive growth of North America in the last 12 months, that's where we focused our enterprise sales efforts. It's where we launched Unity, and the response that we're seeing is super positive, with proof points in terms of new logos, customer commitments. We are shortly embarking on Heartbeat in May, which is our second annual customer conference where there'll be a bunch of customers talking about Unity and its effect on their business. So, I think overall, we're seeing strong vectors, and that's also considering in the US, we've seen some headwinds in terms of the supply chain industry, with some of the traditional PowerFleet revenues. So, the overriding, I think growth in our safety solutions, the combined solution of in-warehouse and over the road, is really kind of coming to bear, but that's where we see kind of real strength. We're starting to plant some seeds, as we've talked previously in the European region. That's a midterm burn, but we're seeing some good pipelines starting to build out of Europe. And I think we have a new lease of life coming for our Brazil, Argentina, and South African businesses, which obviously we put into almost maintenance mode. And we kind of killed any growth pipeline with the decisions that we made when we look for strategic alternatives for it. So, that region's got new life. And if you look at the fact that we've been able to grow this quarter considering the challenges faced in Israel from October 7th onwards, gives us a real strong indication in terms of the overall growth potential for the business. And I would say a big thank you as well to our Israeli team who have done a tremendous job to protect revenues and find alternative revenue streams to continue that support moving forward during obviously what is challenging times.
Jaeson Schmidt: Got it. That's helpful. And Steve, I know you just mentioned new logos in North America. When you look at that pipeline expansion in aggregate across your business, is that expansion early being driven by these new logos, or are you still expanding pretty significantly at existing customers?
Steve Towe: It's a mixture of both. So, I think we are, even in PowerFleet standalone, doing a much better job of cross-selling and upselling where we had customers in the warehouse that we're now starting to get into their assets that are on the road and vice versa. But what I think is particularly intriguing and exciting is the view that we have as this kind of data highway play where customers, large enterprises in the US have multiple providers. They're struggling to make sense of the data and get it in a meaningful format and are looking for more of a mission-critical partner. I think that's the role that we're starting to play, and that's what is bringing new logo growth where maybe there's some frustration in key verticals with some of the more tactical competitors out in the market.
Jaeson Schmidt: Okay. And then just the last one, and I'll jump back into queue, I don't know if you disclosed ARPU, but at least directionally, is it trending in how you expected it to?
David Wilson: Yes, again, ARPU is not a metric that we're overly focused on. We're increasingly focused on sort of the book of business, the annual recurring book of business, but the benefit of Unity is it really is adding an extra layer of value from a customer standpoint, and clearly, we get to earn our share of economic rent for that value delivered.
Steve Towe: And just to add to that, kind of the stickiness of taking in different data sources, adds ARPU to your standard fee. Expanding the enterprise applications and the AI capabilities and delivering premium applications, adds more to your ARPU. And then finally, integrating into third-party business systems and sending our data into other solutions, allows us to do the same. So, I think if you look at kind of more of the commoditized revenue that PowerFleet had and some of the non-profitable stuff and all the stuff we've kind of taken out of the business that's now been replaced with stronger ARPUs and higher margin and better-quality revenue.
Jaeson Schmidt: Okay, perfect. Thanks a lot, guys.
Operator: Your next question is from Gary Prestopino with Barrington Research.
Gary Prestopino: Hey, good morning, Steve, David. A couple of questions here, and I guess that you just answered the one first one I was going to ask is in terms of, are you giving a subscriber count or that just is not a metric that you're going to be focusing on?
Steve Towe: So, I think we talked generically about the subscribers. We will provide subscriber numbers. For us, it's about quality of revenue and ARPU in terms of just the scale of revenue we're getting per subscriber, rather than just attracting subscribers. So, I think that's - it's something that is important to us, but I would say it's not the number one vector. The number one vector is the profitability of the revenue and the growth that we can pull forward per customer. And improving that wallet share, I think is another key vector.
Gary Prestopino: Okay. So, just on the legacy business alone, PowerFleet, can you give us some metrics of where you are with the Unity platform in terms of your legacy customer base or legacy revenues on the services side? I mean, what percentage of these revenues are now being derived through being a part of the Unity platform?
Steve Towe: Yes. So, I mean, Unity is an ecosystem and a platform. So, all of the previous heritage functionality from the previous platforms, reside in Unity. So, it's not like we are migrating from platform A to platform B, and therefore there is Unity revenue shift from one platform to the other. It's all part of Unity. So, it's difficult to break it out. What I would say is, if you look at the growth that we are achieving, then a strong proportion of that growth is coming from the fact of the capabilities of what Unity does today and what it's going to do in the future. So, I think that's where if you take - if you see the fact we've taken out $8 million annualized revenue and now we're out tracking that in terms of growth, then I would say the majority of that is coming from the Unity play. And in line with that, I would say the safety solutions that we sell within Unity.
Gary Prestopino: Okay. And then what are - as I recall, you said you were going to have five or six modules. Is that correct? Are they all out in the market now?
Steve Towe: No, we've not put out another module since the sustainability module. We've pivoted right now to ensuring that we can integrate MiX. So, there are capabilities that will enhance the overall modularity that we have, that MiX has today. So, that has been something that we've pivoted to obviously off the back of the transaction. And then secondly, the kind of, I think excitement and desire for the device-agnostic piece of the platform has meant that we've accelerated our capabilities there to be able to do that at scale. So, once those two things are done, then we'll start to release more and more AI capabilities and more modularity into the platform. But we think our near-term bang for the buck is very much on focusing on the integration with MiX and this kind of device-agnostic piece and being able to take multiple data sources into the platform.
Gary Prestopino: Okay. Thank you.
Operator: Your next question is from Matt Pfau with William Blair.
Matt Pfau: Hey, great, thanks. Nice results. Wanted to follow up on the comments around the MiX customer base and discussions with moving them over to the Unity platform. Maybe can you just remind us the strategy around that? How long is that going to take and how potentially disruptive is that to the existing MiX customer base?
Steve Towe: So, it's only additive to the MiX customer base. So, we are implementing a strategy at the moment, like we did with PowerFleet platforms, to bring all of the current MiX platform capabilities into the Unity ecosystem and infrastructure. What it means within three to six months is that the customers will have the ability to utilize the value-added services that Unity brings. So, whether that is more data ingestion points, whether that is the advanced AI applications that we've delivered already, or the more scalable business system integration. So, there is zero disruption to the customer base. And what we have seen already in the dialogue is a lot of, I would say, excitement and customers putting us under pressure to get that stuff delivered, which is great. And then I think secondly, the other thing that from a MiX perspective the customers have the ability to absorb is the in-warehouse solution. So, where we're focusing on safety and sustainability, the folks that are usually responsible for that in an organization are both responsible for it in the warehouse and over the road. So, this gives the ability to go and sell to new people in on the organization and do broader propositions. And I think it's something that the MiX team are excited about that they didn't have that strong capability and therefore that was a bit of a gap. On the flip side, we also have some key MiX technologies that the PowerFleet customer base have been wanting and desiring. So, there's a bidirectional move. So, obviously, the PowerFleet customers can benefit from that MiX technology again within the same period of time.
Matt Pfau: Great. And then - and David, just wanted to follow up on the comments around the impact to top-line growth from the integration efforts. How long should we expect that to continue? Is that something beyond Q1 and then in any way to sort of quantify how you're thinking about that impact?
David Wilson: Yes, so again, the businesses are growing nicely, both on their side and our side. So, we're not expecting there to be sort of a pullback in terms of how we're performing there. Obviously, Israel is a headwind, so we have to work our way around that. So, we do have those types of things. And as Steve said in his earlier comments, the logistics here in the US, there's certainly some sort of headwinds in terms of that piece of the market. But I think the essence of what we're calling out here is if we really focused on top-line, we would do better just because where we put our attention, we generally get to move the dial and we look to put our attention to the dials that are going to create the most amount of value. And I'd say over the next two quarters, it really is about getting this thing up and running. We have a massive focus in terms of expanding EBITDA through the benefits in terms of efficiencies from a cost standpoint. So, we're going to put our minds and our efforts to work there, but obviously, we can keep more than one plate spinning at a single point in time. So, we'll be looking to be effective across all fronts, but we're going to prioritize those things that matter the most.
Steve Towe: Yes, and I'll just add to that, this is a big undertaking that - and a brave undertaking that the two companies are doing. And the industry and broader industries are littered with integrations and combinations that fail. What we are highly confident about is we have a team with a track record of doing this really, really well. I think even from Investor Day time, people saw the similar cultures of the teams and the teams are actively working together. What we want to do is make sure we land into a very, very strong operating rhythm fast. We've come out and made some bold statements in terms of projections over a two-year period. And the key parts of moving that forward is, A, getting everybody aligned internally so that we can then focus externally as soon as soon as possible and we don't get that distraction. The ability for us to realize those EBITDA expansion programs, I think gives us everything we're going to need to propel top-line growth. But we're going to make sure we don't dilute efforts on both of those by trying to do too much in one go. So, that first six-month period is very much something that is key to us winning the hearts and minds internally and externally. I think we have a great plan to do that. And then once we're through that initial period, then we can start to put our foot on the accelerator.
Matt Pfau: Okay, perfect. Appreciate you taking my questions.
Operator: We have reached the end of the question-and-answer session, and I will now turn a call over to Steve for closing remarks.
Steve Towe: Thank you. I would like to say a sincere thank you once again for the trust and confidence shown by our shareholders and the outstanding contribution from so many of our colleagues in both the PowerFleet and MiX organizations that have allowed us to be able to complete a highly strategic and complex transaction so effectively and seamlessly. We look forward very much to new beginnings for the evolved and highly energized PowerFleet family, and we look to continue to update our shareholders along the way. Thank you, everyone. Have a great day. We'll speak again soon.
Operator: Thank you for joining us today for our presentation. You may now disconnect.